Operator: Good afternoon and welcome to Mister Car Wash's Conference Call to discuss Financial Results for the Fourth Quarter and Fiscal Year ending December 31, 2023. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will follow at that time. Please note, that this call is being recorded, and a reproduction of this call in whole or in part is not permitted without written authorization from the company. Speaking from management on today's call are John Lai, Chairman and Chief Executive Officer; and Jed Gold, Chief Financial Officer. After John and Jed have made their formal remarks, we will open the call for questions. During the conference references to non-GAAP financial measures will be made. A complete reconciliation of these measures to the most comparable GAAP measures have been included in the company's earnings press release issued earlier today and posted to the Investor Relations section of the company's website at mistercarwash.com. As a reminder, comments made on today's call may include forward-looking statements, which are subject to significant risks and uncertainties that could cause the company's actual results to differ materially from management's current expectations. Please be advised that the statements made today are current only as of this call and are based on the company's present understanding of the market and industry conditions. While the company may choose to update these statements in the future, they are under no obligation to do so unless required by applicable law or regulations. Please review the forward-looking statements disclaimer contained in the company's latest annual 10-K and 10-Q reports as such factors may be updated from time to time and other filings with the Securities and Exchange Commission. I would now like to turn the call over to Mr. John Lai. Please go ahead, sir.
John Lai: Good afternoon and thank you for joining our Q4 earnings call. This past year, we delivered solid results, driven by our focus on continuously improving our services, our physical plants and our teams, which resulted in a better overall experience for our customers. Our obsession around delighting our customers begins with delivering a consistently clean, dry and shiny car with exceptional customer service in a super speedy way, all of which takes a team of highly trained and motivated operators who love what they do. During the fourth quarter, our results were in-line with our expectations. Sales grew 7% to $230 million. Adjusted EBITDA increased 5% to $69.5 million. Comp store sales increased 0.7% and we opened 14 new greenfield stores and ended the year with 476 locations. Reflecting on the year, it was one of the more challenging years, but it was also a year where we demonstrated our metal by working through some macro forces, such as increased competition, high inflation, high interest rates and an abnormally tight labor market. Despite these pressures, we were able to grow sales by 6%, adjusted EBITDA by 1.5%, same-store sales by 0.3% and we opened a record 35 new greenfield locations and acquired six locations, all while adding 194,000 new UWC members. What we're most excited about is the introduction of Titanium, our new super-premium service, which will act as a nice tailwind to revenues over the next several years as we trade people up to our new premium membership plan. I'm extremely pleased to report that we were able to compress our rollout timeline and convert our entire portfolio ahead of schedule and now have 100% of our stores with Titanium. We're just now beginning to see the fruits of our labor as introductory promotional offers roll off in select markets. Early stage adoption rates are exceeding our expectations from a percentage of members in the program standpoint. Jed will share more details in a second about what we're seeing. As we think about our Unlimited Wash Club and how that's changed every aspect of our business, it's important to note that for many years our primary focus has been on net member growth and converting retail customers into members. Over the last six months and into 2024, we're going to prioritize trading up existing members into Titanium versus converting retail customers into UWC members. Given our multiple lanes format, we're now positioning our guest services specialist in the membership lane to accomplish this task. As a result of this shift in focus, we're expecting a period of more modest net member growth offset by the tailwind of accelerated growth in revenue per member. Retail volume has been a headwind for us and appears to be weaker across this sector, driven by a more difficult overall economic environment for consumers and an increase in competitive activity. The good thing is that 2023 was the year when the number of new units coming into the market began to moderate. After years of explosive growth, the market is resetting, which is a good thing, and we believe that things will begin to abate in 2024 and dial down in 2025. While others are pressing pause, we're pushing full steam ahead. The next several years will be a period of opportunity for Mister Car Wash, opportunities for us to advance our position in the market, but do it in a disciplined and opportunistic way. With a strong balance sheet, access to capital, and a long history of being best-in-class operator, we're in a great position to play offense while others are playing defense. Looking ahead into 2024 and moving at a pace that feels right to us, we plan to open approximately 40 new Express locations and from an M&A standpoint, continue to evaluate good opportunities that help us densify and fortify our leadership position across the country. And finally, we're on a multiyear path to accelerate our leadership development program, which is our pipeline for future store managers. We're very proud of the fact that 90% of our store managers started their careers as hourly employees, and building an organization from the ground up, one leader at a time, has created an amazing team that knows how to process cars efficiently and maximize throughput during peak demand. When asked about our competitive advantage, I don't even blink when I say it's our operations team and the support infrastructure we have developed that's allowed us to elevate our standards and scale our business to heights no one thought was ever imaginable. In the end, it's all about people, and we're very proud that throughout our journey, we've never lost sight of our guiding principle, which is to take care of our people, who take care of our customers, who in turn will allow us to generate extraordinary shareholder value over the long run. I will now turn the call over to Jed to provide more commentary around our financial results.
Jedidiah Gold: Thank you, John and good afternoon. Overall, we had a solid fourth quarter. From a top line perspective, sales were within our guidance range. Comp trends were strong in the first half of the quarter and moderated as the quarter progressed, primarily on the retail side. From a bottom line perspective, the team exercised strong financial discipline and adjusted EBITDA and adjusted net income came in ahead of our guidance range. We managed expenses well in the quarter and are finding opportunities to operate more efficiently. As John indicated, we completed the rollout of Titanium ahead of schedule and we are now focused on driving trial and adoption across all our locations nationwide. As noted on our previous earnings call, our initial penetration target for UWC was at least 10% of UWC subscription mix within a year of implementation. We have already surpassed that goal and Titanium penetration levels are running over 15%. With that said, let me run you through the fourth quarter numbers. In the fourth quarter, total net revenue increased 7.4% and comparable store sales increased 0.7% versus last year. UWC sales represented nearly 74% of total wash sales and we added 6000 net members in the fourth quarter. On a year-over-year basis, the number of UWC members increased 10.3%. The performance of our subscription business remained very stable in the quarter. Core churn rates outside of the Titanium promotional offering remained in-line with the historic ranges. On the development side, we opened 14 new greenfield locations in the fourth quarter, which was a quarterly record. Greenfield returns remain very strong and continue to be the highest and best use of our capital. On the expense side of the business, we remain focused on managing expenses and optimizing the investments we are making to support the long-term growth and development of the business. We are also identifying areas where we can leverage our scale to drive efficiencies and do even more with less. Excluding stock-based compensation and as a percentage of revenue, total operating expenses increased 170 basis points to 81.2% year-over-year. The main drivers were labor and chemicals decreased 53 basis points to 28.9%, other store operating expense increased 175 basis points to 40.6%, G&A expense was flat at 10.1%, and (gain) loss on sale of assets increased 45 basis points to 1.6%. Breaking this down a little further, the labor and chemicals benefited from better staffing models focused on maximizing throughput and delivering a great customer experience. Our team works with a sense of purpose and it's one of our strengths. This was partially offset by an increase in average hourly wages. Other store operating expenses increased primarily from an increase in rent expense and from the fact that we have 45 more car wash leases compared to the same time last year as a result of the additional sell leasebacks done over the twelve-month period. In the quarter, cash rent expense increased 13% to $26 million. G&A expenses, excluding stock-based compensation expense as a percentage of revenue were flat year-over-year and we are starting to leverage the growth investments made over the past few years. In the fourth quarter, interest expense increased to $20 million from $14.9 million last year due to higher interest rates and the expiration of our interest rate hedge in October of 2022. Our GAAP reported effective tax rate for the fourth quarter was 26.8% compared with 25.1% for the fourth quarter last year. Adjusted net income and adjusted net income per diluted share which add back stock-based compensation and certain noncore operating expenses were $24 million and $0.07 respectively in the quarter. Fourth quarter adjusted EBITDA was $69.5 million, up 5% from the fourth quarter of last year. Adjusted EBITDA margin was 30.2% versus 30.9% in last year's fourth quarter. Moving on to some balance sheet and cash flow highlights. At the end of the year, cash and cash equivalents were $19 million and outstanding long-term debt was $897 million. Our balance sheet remains healthy and we continue to self-fund our growth and expansion. We completed five sale-leaseback transactions involving five car wash locations in the fourth quarter for an aggregate consideration of $23.8 million. We continue to see healthy demand at favorable rates in the sale-leaseback market. Lastly, let me make a few comments around guidance and some of the factors that helped shape our initial outlook for 2024. First, we expect to open approximately 40 new greenfields this year. The majority of these will be in existing markets where we have opportunities to densify, fortify and grow our market share. The timing of these openings will be back half weighted with an estimated 30% of the first half and approximately 70% of the second half. Second, we will continue to promote Titanium across various markets to drive trial and adoption, particularly across our base of approximately 2.1 million Unlimited Wash Club members. Once customers experience the speed and convenience of being a member of our Unlimited Wash Club or the shine and efficacy of Titanium, the majority of them recognize the value and continue with the program beyond the promotional pricing period. We tested this to varying degrees last year and will be re-launching introductory pricing promotions in certain markets this year to help drive trial and adoption even further. This will drive Titanium penetration rates, but will also put some short-term limits around revenue lift and flow through from Titanium this year, particularly in the first half. Third, last year we grew UWC by just over 10% with 35 new greenfield openings and six acquisitions. This year we are targeting approximately 40 new greenfield openings and focused on driving Titanium conversion and revenue per member. Fourth, we expect G&A growth to slow a little and we should be in a position to leverage certain expenses this year due to various productivity initiatives and an even greater focus on doing more with less. Lastly, we are not anticipating any changes in the macro environment. Many consumers remain challenged and we have not seen a meaningful consolidation across the industry yet, which we think warrants a certain level of cautiousness in building our initial outlook for this year. Full list of our initial outlook ranges for 2024 can be found in the table in today's earnings press release. In closing, I would like to thank the entire Mister team for their work and dedication. We are a team that cares for one another and our customers. 2023 was another important year in our longstanding history. We came together as a team and delivered strong execution and solid results and it's a testament to the culture and type of people at Mister. With that, we are happy to open the call to questions.
Operator: [Operator Instructions] Our first question comes from Peter Keith with Piper Sandler. Please go ahead.
Peter Keith: Hi, thanks. Good afternoon everyone. Hope you're doing well. I wanted to follow up on a couple of the comments you made around Titanium 360 rollout. So you mentioned that you've already reached 15% penetration. That was a little bit confusing, so I'm wondering if that was at some of the earliest test stores, if you could clarify? And then secondly, you had mentioned the probably limited benefit from T360 in the first half and I guess is that I think it's from promo pricing, but maybe you could just help us understand promo pricing is driving no benefit, but you're already at 15% penetration in some stores.
John Lai: Yes. Hey, Peter, this is John. Good to hear from you. So we're still in execution mode and we're going to continue to get better at upgrading our members over time. We are ahead of where we thought we were going to be at 15%. We expect that number to grow, quite frankly. But with respect to the promotions that we have put in place to encourage early adoption, we are now just on the cusp of having those promotions roll off and we're going to enjoy, I think, a nice tailwind from a revenue standpoint as we get further down the road here as the months progress.
Jedidiah Gold: Yes, Peter, just a little bit more color around that and the impact of Titanium in Q4. You had touched on it. Right? So overall, pleased with Titanium, how it's mixing, mixing just north of 15% overall, but the impact during Q4, it was just a little bit muted because of some of the promotional offers that we are using to drive trial amongst our members.
Peter Keith: Okay, very good. And then maybe on the retail side of the house, a little bit of softness in the back half of Q4. Any observations on what's driven that? It seems like the retail side, probably industry wide, just can't seem to get off the mat. And then maybe any commentary with Q1 with some of the erratic weather, is that something we should keep in mind as we're modeling our Q1 comps?
John Lai: Yes, Peter, so you touched on it, right. So as we've talked about that retail volume, it is a little bit more susceptible to some of those exogenous factors, such as gas prices, some of the discretionary spending events, gas prices, and also competitions having some impact there on the retail side of the business as well. But retail comparables in the second half of Q4, they did moderate from where we were seeing them at the time of the Q3 call to where we overall in the quarter, we saw just a little bit of moderation on the retail side of the business relative to where we were during Q3. And as we look at how that's translated into Q1, really tricky to say Q1, 2024, just because of the extreme cold, the weather throughout much of the country, last year we talked about the impact of the weather on the business. As we look at the number of precipitation days in those markets where we operate, it's actually higher this year even than it was last year when we looked at it during January. Overall January comp was still positive, but it did fall short of what we were expecting. So it's really difficult to come to any conclusions just because of the early quarter weather impact that we saw. I would say for Q1 2024, we do expect positive comps just given how we typically see the months play out, March being the stronger month historically of the first quarter.
Peter Keith: Okay, very good. Thanks so much and good luck.
Operator: The next question comes from Justin Kleber with Baird. Please go ahead.
Justin Kleber: Yes. Hey, guys, thanks for taking the questions. Good afternoon. Just to follow up, first on Titanium, the market got the service I guess almost a year ago, kind of where is penetration trending in those areas? And then can you isolate what type of same-store sales uplift you're embedding in the 24 comp outlook from Titanium?
John Lai: Yes. So I don't know if we're going to be able to drive or you're going to be able to drive much from the early regional launches because quite frankly, we weren't promotional. We were launching and focused more on product efficacy and making sure that the product profiles were where they needed to be. Once we got those in place and we checked the quality and performance box, we then started to get more effective ways that we could trade people up. So the RPC lift, I think, is again something that we're going to enjoy going forward and I should say RPC and RPM, but for the early stage regions, there's really not a lot to draw upon.
Jedidiah Gold: And then Justin, the second part of your question, just the full year 2024 guide of 0.5 to plus 2.5, so from a Titanium mix, we're mixing at about plus 15%. I think the variable there is how quickly we get these markets on regular way pricing, which as John had highlighted, we're moving quickly toward. And then the variable of what happens to -- how retail sales perform, to get to the high end of the guide, the plus 2.5%, you don't have to model an improvement in the retail trends that we saw in Q4 in order to get to the plus 2.5%.
Justin Kleber: Got it, okay. That's very helpful. And then, John, you talked about having a strong balance sheet and access to capital. So the question is around what you're seeing in the M&A environment and how comfortable would you be in taking on additional leverage if there was a transformative M&A opportunity that became available at a reasonable price?
John Lai: Yes, I'm going to kick that one over to Jed because he's our leverage king with respect to the balance sheet.
Jedidiah Gold: Yes, Justin. So I think when you look at this business and just the amount of free cash flow that's generated, a lot of that's committed right now for greenfields. When it comes to leverage then we ask ourselves, what are we going to use the leverage for? And if the return profile is where it makes sense and it's an acquisition that's going to fit in with a broader portfolio, we're going to be strategic and opportunistic about M&A. Having said that, we do recognize that we're sitting at the high end of the 2x to 3x target that we've put out there and it's going to have to be a really good asset for us to lean in.
John Lai: Yes. And Jed, I would add though, that we can justify leaning in when we can pro forma out year two, year three growth, which will lower that effective multiple, which will help us get our ratios in line or in a better place. So if there wasn't a good opportunity, we certainly would take a hard look at it.
Jedidiah Gold: The one other point there is, I think this is where being the only publicly traded car wash does serve as a little bit of differentiator, where we have equity, in theory, for the right asset and if the seller saw the upside and the synergies of a combination between Mister and their platform, where potentially equity would serve as a currency on a larger scale acquisition.
Justin Kleber: Got it. Okay, makes sense, guys, thanks and best of luck.
Operator: The next question comes from John Heinbockel with Guggenheim. Please go ahead.
John Heinbockel: Hey, guys. I want to start with question with regard to pricing on Titanium. So you talked about promo pricing, regular pricing. So I guess regular pricing, are you settling in at 39.99? And is the promo pricing roughly half of that? So that's sort of number one. And then as part of that John, when you think about, you guys have always used retail as sort of the feeder for membership. Is there a good way or a way to not use retail to kind of, as you densify, just attract members without them being retailed first and can that move the needle?
John Lai: Yes. Let me answer the second part of your question first. So we have actually thought really hard about that particular question. And our belief originally was that someone needed to come in and try us through a retail purchase first, and then we would wow them with our excellent service delivery and then they would be more apt to and receptive to moving into a subscription based membership plan. We've actually turned the tables on that and we're actually leading now with membership because what we found was that it was too long of articulation and we were perhaps protracting out that time horizon. So in our new approach, we're finding it's actually working and it's dispelling what was a conventional wisdom inside of our own belief system, which was that we wanted to take this slower boat approach to membership growth. So we're doing just that. To the first part of your question with respect to promotional pricing, yes we're still experimenting actually with a couple of different approaches and we want to actually move away from the price value piece of it, but we also know that it's also a very effective lure/hook to get folks interested in trying it. But we really haven't settled in and established something that we think is going to be the game plan in perpetuity because we're constantly refining, constantly reassessing and determining how can we do it more effectively and quite frankly, shrinking that discount line while achieving the same types of capture rates. So as Jed alluded to in his opening comments, we're really pleased with where we sit today in terms of the percentage of our existing members that have traded into the program. And we've got a lot of momentum, John. There's a lot of untapped potential. And when you have an embedded base of over 2.1 million members, it is really where our focus is right now, which is trading those existing members up into our premium plans, and we're excited about where we sit.
John Heinbockel: Secondly, if you think about densifying, right, which you're doing and some others are too, are we reaching a point where that is acting as an impediment to someone thinking about coming into a market? When do we get, I mean, it seems so obvious that when you look at other sectors and how they've progressed, that at some point here we need to see significant consolidation regionally and starting regionally, right? How far away we are from that with people still raising money and with the amount of private equity participation, do you think we're still a couple of years away from that process?
John Lai: So the market has been consolidating pretty aggressively over the last, I'm going to say, five years, but it has cooled and has cooled primarily due to prices that have gotten a little wonky. Folks that have really pushed the envelope with respect to sale-leaseback financing and quite frankly have run out of growth capital to fund their ambitions and that cooling effect, I think, is healthy and long overdue. So we're seeing contraction multiples, and as prices come down, that will create more opportunities for us going forward. But with respect to the competitive moat, if you will, and densifying our existing footprints, we still have a long runway to go inside of the close to 70 MSAs that we're in to get to a point where we think that we've got a strong enough position that would prevent a whole lot of folks thinking about coming into our own backyards. And we are seeing less encroaching than we have over the last several years. Folks have really started to say, hey, the AUV profile that was five years ago is a little bit different today because the pie is getting sliced up a little bit thinner.
John Heinbockel: Thank you.
Operator: The next question comes from Jason Haas with Bank of America. Please go ahead.
Jason Haas: Hey, good afternoon. Thanks for taking my questions. It looks like the guidance of doing the math right implies some margin compression in 2024 on a Year-over-year basis. Jed, can you just outline anything to be aware of there in terms of margins?
Jedidiah Gold: Yes. So listen, Jason, first of all, good afternoon. Good to talk to you. Overall, when you look at the guide, overall trends for the most part are in line with 2023. The two points where there's a little bit of compression, the first is on the store level rent as we've done more sale-leasebacks and we plan to do more in 2024, it will create just a little bit of compression to margin. The other piece is on the labor side, particularly with greenfields, when we run a full labor load, but the store hasn't fully ramped. The reason we didn't see that as pronounced in 2023 is we had the labor staffing, the optimization of the labor staffing model that really offset that. But we anniversaried that in Q4 of 2023, won't have that benefit helping offset it, so creating just a little bit of labor compression.
Jason Haas: Got it. That's clear, that's helpful. And then as a follow up, maybe going back to the competitive environment, I guess, good thing to hear that gotten a little bit less competitive for locations and acquisitions. What about on the pricing side? Are you seeing any easing of competition there or does it mean pretty competitive in terms of pricing, especially on the retail side? Thanks.
John Lai: Just to be clear, are you talking about prices of car washes?
Jason Haas: Yes, that's right.
John Lai: And what we're seeing from a competitive landscape perspective, just to be clear or are you talking about our own pricing strategy?
Jason Haas: What you're seeing from a competitive landscape perspective.
John Lai: Yes. So I think things have cooled a bit. There were some folks that have chosen to get, I can't speak to anyone else's strategy but our own. But when we assess the marketplace where we sit vis-à-vis the bulk of our competitors, we're kind of right at the median. And again, I think in this kind of consumer environment, it's not the best time to be taking price. And so I think everyone is kind of feeling it. We're not the only ones that are experiencing some retail softness. So if there's retail softness out there, it really does not create the type of environment where you think that you can pass through additional price increases.
Jedidiah Gold: And Jason, and for the rest of the callers, just one point of clarification on the guide, out full year 2024 comp store sales guidance is a plus 0.5 to a plus 2.5. There will be a correction to the 8-K that went out earlier with that correction shortly.
Jason Haas: Got it. Thanks for clarifying that.
Operator: The next question comes from Phillip Blee with William Blair. Please go ahead.
Phillip Blee: Hi, guys. Thanks for taking the question. You spoke about the ongoing shift to focus on the upward migration with existing membership. Should we then expect membership to decline throughout 2024 under the current guide? If so, to what degree?
John Lai: Yes. We don't expect it to decline. We just think that’s the growth is going to moderate because of our focus on upgrading existing members. And as I mentioned in my opening remarks, we're repositioning our guest services specialist to be positioned in the member’s lane and that old adage of taking existing customers and increasing the value of those customers versus trying to acquire a new customer, that's our primary focus, which is going to result in a slowdown in net member growth. We'll still see some growth, but just not at the same rate.
Phillip Blee: Okay. And then is there a certain target, then I guess you have for upward migration here or I guess said another way, is there a certain point where you shift your focus back to new member additions and how do you determine that balance going forward?
John Lai: Yes, for us, it's really hard to set targets, particularly for a new product launch. What we don't want to do is underestimate the potential. If we look back at our pre-Titanium mix between our former premium package, which was Platinum, and our base, we enjoyed close to a 60/40 shift or mix ratio of Premium to base. And so we would love to see that ratio remain the same, but bucketed inside Platinum and Titanium and then perhaps growing over time, but we don't want to limit ourselves. So we're going to continue to focus on member upgrades until we start to see a slowdown and then from there we'll shift. But we consistently reassess where we sit, but right now, we are so early in this adoption curve that this is going to be, I think, for the bulk of 2024, our focus.
Phillip Blee: Okay, great. Thanks a lot. I appreciate it.
Operator: The next question comes from Michael Lasser with UBS. Please go ahead.
Michael Lasser: Good evening. Thank you so much for taking my question. Is it fair to say that across the wash industry, the cost of business is going up as a result of higher membership acquisition costs, higher labor rates, higher rental rates, and this is offsetting the benefit from higher revenue per member [indiscernible] such that this is putting a downward pressure on the profitability of the sector and this is going to continue for an extended period?
John Lai: Yes, Michael, this is John. You broke up just a little bit there, but I think I got the gist of your question. So I think from a business fundamental standpoint, if you can grow your revenue line faster than you can grow your expense line, then that's the name of the game, that's the goal, and that's what we're focused on right now. So with respect to some rising input costs, and I could look across the board and it's the things that, to your earlier comment, everyone is experiencing, how do we increase our ticket average and how do we increase the lifetime value of our members? And so, while you all are focused on near-term performance and we want to deliver near-term performance, we're looking at this thing through a longer lens saying lifetime value. And Jed is lifetime value a GAAP measure?
Jedidiah Gold: Not quite.
John Lai: It's not, but it really is what our Holy Grail is, which is taking a customer that washed relatively infrequently and changing their behavior and having them adopt a super premium plan. And if you think about it, Michael, it's an interesting time for us to be launching a premium offering without really taking any historical price increases on the base side. And if I can go down that path for a second in this somewhat tepid environment, from a consumer standpoint, the fact that we still have this value offering at a $10 base retail $19.99 Unlimited Wash Club to appeal to that more price sensitive customer or member while we launch this super premium which will ultimately, and I didn't really answer John Heinbockel's question around price point for Titanium, but if it's going to settle in at $39.99, what we're seeing is that even in this environment, people are willing to trade up for good quality. And if you deliver great value, they are more than happy to pay for it and that's why we're super excited about what we're seeing in this very early stage of our launch.
Jedidiah Gold: Yes, and Michael, just to add a little bit more color there, I think first of all, all industries are exposed to the pressure of rising input costs. It may be a little bit more pronounced in this, but I think that's where we're optimistic is because we're in a unique place with this third package rollout that to John's point is going to help offset some of these rising input costs. So all-in-all, we're very, very optimistic with Titanium and its ability to help continue to drive the top line longer term.
Michael Lasser: So the obvious follow up is when can we expect Mister Car Wash to generate margin expansion and what has to happen in order for that to be the case? Thank you very much.
John Lai: Yes. Boy, he's putting us on the spot, Jed. He wants an exact date.
Michael Lasser: Yes. No hours, no minute. That's okay.
John Lai: So, and I'm not trying to be cute here, Michael, when I say this. So maximizing revenue is our first order of business. We are less focused on margin expansion right now as we make the right investments to deliver the type of experience that we expect to deliver. That said, we're very mindful of making sure that over time we have 30% net margins. Your favorite line, Michael. It's a beautiful thing, right? But we have a really nice margin profile today. But it's our collective goal to show some margin expansion incrementally over time. We hope to do that perhaps in the back half of this year, but right now we're focused more on top line and driving adoption.
Michael Lasser: Thank you very much and good luck.
Operator: The next question comes from Tristan Thomas-Martin with BMO Capital Markets. Please go ahead.
Tristan Thomas-Martin: Hey, good afternoon. A question around the competitor response to Titanium 360 and some of the relaunch of your introductory promos, have they been responding by getting more aggressive on pricing or do you think that's something that could happen?
John Lai: No. If anything, we were, I'm not going to say late to the dance, but most of our competitors have been offering three, if not four membership programs already. And we had aired on the side early in our careers on the simplicity piece where we had a two-tiered program and having in the good, better, best kind of mindset, having a best package out there to offer, if anything, we relate to the dance. So we've launched it. What we have seen from a competitive activity standpoint, and this is going back over the last couple of years, is that there are many folks out there that are getting very aggressive with their promotional strategies, but from a discounting their list prices standpoint, we really haven't seen that.
Tristan Thomas-Martin: Okay, got it. Thank you. And then maybe just kind of your general thoughts on the industry in 2024 and 2025, I think you're talking about M&A, but I think you said abating in 2024 and then dialing down in 2025, so just maybe kind of curious what the difference is there.
John Lai: Yes. So it's our view that with respect to how hot this category this sector has been over the last several years, that it was ripe for a correction, if you will, and a reset. And we started seeing the slowdown happening just this last year and so pick a word, but we're using abate for 2024, and when I say abate, it's a slowdown in the number of new units coming into the market, and in 2025 a little less new units than there were in 2024. So it's cresting, if you will. And again, I think that that is healthy because there was a lot of stuff that was being built that perhaps shouldn't have been built, and those folks are having to run those operations for a long time.
Tristan Thomas-Martin: Awesome. Thank you.
Operator: The next question comes from Christian Carlino with JPMorgan. Please go ahead.
Christian Carlino: Hi. Good afternoon. Thanks for taking my question. Can you talk about how ticket and traffic grew in the quarter and then how you're thinking about those components broadly in 2024?
John Lai: We're not going to give specifics, but we will say that our ticket average is up. And you're speaking specifically to our retail ticket, is that right, Christian?
Jedidiah Gold: I think just the business behaves just a little bit differently than a traditional retailer, where over 70% of our sales are subscription. And so really we look at it two different ways. You've got revenue per member multiplied obviously by the number of members that you have in the program. That's what we collect as part of the subscription program, proven to be very resilient consistent, predictable. And then the retail side, which performs and looks a little bit more like a traditional retailer where you have average ticket and number of transactions. We really haven't spoken or disclosed that in that level of detail. I think you can back into and then get pretty close to what the average revenue per member with the information that we've provided. When you look at a mix of about 55% Platinum, priced at roughly $29.99, and then 45% of our base members, which is priced at roughly $19.99, so you can back into a rough revenue per member there.
Christian Carlino: Got it. That's helpful. And on your comments about the industry slowing unit growth this year, could you talk about how you're thinking about just market growth generally and what you're baking in terms of share gains for your guide? And would you expect share gains to sort of pick up relative to the past couple of years as a result of slower unit growth in the industry?
John Lai: Yes, I'll start by saying it's a big market out there and there's still a lot of growth potential. We have less than 5% market share, and as the industry leader, put an asterisk next to that as a caveat, by saying, while we're relatively large inside our industry, we're actually quite small and our upside growth potential, we feel is tremendous. We've reset our vision for how many stores we believe is tangible and realistic and attainable, and that's 1500 stores, not 1000. And so we will this year have more than 500 stores in our portfolio, which is for us a really big milestone. But in a lot of ways, we're just getting started and it feels very early innings.
Christian Carlino: Got it. Thank you very much.
Operator: [Operator Instructions] Our next question comes from Simeon Gutman with Morgan Stanley. Please go ahead.
Simeon Gutman: Hey, good afternoon. Hey, John. The slowing expansion or the moderating expansion, any sense to quantify how much the industry was seeing new units or supply growth over the last couple of years? What that curve is moderating to in 2024, what it looks like in 2025 and beyond?
John Lai: Yes, and this is data that is hard to substantiate, but in talking to various OEMs and trying to triangulate around what we believe to be the total number of new units into the space in the U.S., and it depends on who you talk to, but kind of around the 800 store range over the last two years. And again, we're seeing that top out and what that new rate of growth is going to look like in 2025, really hard for me to predict, but we feel pretty confident that it's going to be less than what we saw in 2023 and 2024.
Simeon Gutman: And one clarification to the question I think John asked earlier, when you're talking about opening in existing markets versus new markets, you said you have a lot of pipeline to go in existing, meaning if it doesn't make sense for you to go to new markets because of just the better returns of densifying, how long can you keep opening, call it, let's say 40 or 40 plus stores a year by sticking with existing markets?
John Lai: 10 years.
Simeon Gutman: Okay.
Jedidiah Gold: Yes. Simeon, when we've talked about the 1000 plus and we look at the TAM, that's really looking at the growth within our existing markets. We don't plan to grow exclusively in our existing markets. Over time, we'll start developing in adjoining markets. And I think as we look at the anticipated ramp of both, we expect good ramp in both scenarios with the healthy cash-on-cash returns that we've seen here recently.
Simeon Gutman: If I can sneak one more in for you, Jed, the clarifications or the new guidance of the comp plus 0.5% to 2.5%, did you suggest that there's no improvement beyond what retail is doing today? Meaning getting to that number is the math of what's happening with Titanium rolling into that number?
Jedidiah Gold: What we saw, no improvement from what we saw in Q4.
Simeon Gutman: Okay, got it. But that second part that I mentioned is no improvement in retail, but it's the conversion element that adds to that comp to get you there?
Jedidiah Gold: That's correct.
Simeon Gutman: Okay, I appreciate it. Okay, great. Thanks, guys. Good luck.
Jedidiah Gold: Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to John Lai for any closing remarks.
John Lai: Thanks, operator. I'd like to conclude by saying, as a pure play car wash company, our strategy is laser focused on growing our titanium member base, opening up new stores with strength, and building the best-in-class team while driving shareholder value. And at this moment, there's never been a more important time for us to live and breathe our culture, which is customer centric to the soul. We're at a beautiful juncture in our growth trajectory where the challenges that others are facing will create opportunities for us to continue to scale and build a brand with enduring value. I look forward to checking back with you in our next quarterly call. Thank you, everyone for joining.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.